Operator: Good day, everyone, and welcome to the IDT Corporation's Third Quarter Fiscal Year 2019 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three-month period ended April 30, 2019. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode. [Operator Instructions]. After the prepared remarks, Marcelo Fischer, IDT's Chief Financial Officer will join Mr. Jonas for Q&A. [Operator Instructions]. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that could cause actual results to differ materially from those that the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the report that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make, or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A that will follow, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income, and non-GAAP EPS. A schedule provided in the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations' page of the IDT Corporation Web site and that’s www.idt.net. The earnings release has also been filled on Form 8-K with the SEC. And with that, I would now like to turn the conference over to Mr. Jonas. Please go ahead.
Shmuel Jonas: Thank you, operator. Welcome to IDT's third quarter fiscal year 2019 earnings call covering results for the three-month period ended April 30, 2019. For a more detailed report on our results, please read our earnings release filed earlier today and our Form 10-Q which we will file with the SEC. IDT’s third quarter results were consistent with recent trends. Although revenue was down substantially, we were able to maintain gross profit while continuing to invest in our growth initiatives. We increased revenue less direct cost of revenue in the third quarter compared to the third quarter of fiscal 2018 and have generated year-over-year increases in revenue less direct cost of revenue for six of the last seven quarters. We have been rapidly reallocating resources from our core offerings. This approach has allowed us to maintain consolidated SG&A in a tight range between $49.5 million and $51 million for each of the past five quarters. We were able to increase adjusted EBITDA 10% year-over-year to $8.9 million in the third quarter and to increase income from operations to $2.7 million from a loss from operations of $1.7 million in the year-ago quarter. Our growth initiatives continue to perform well. net2phone’s unified communications business generated $6.7 million in revenue this quarter compared to $3.7 million a year ago. The net2phone team has done a great job. As of April 30, net2phone served 89,000 seats. National Retail Solutions revenue increased 32% year-over-year to $1.5 million, and our POS network now serves over 7,000 independent retailers around the country. BOSS Revolution money transfer revenue increased 34% year-over-year to $6.1 million. The growth was generated entirely by direct-to-consumer transactions originated predominately from our app. DTC revenue increased 98% year-over-year and now contributes about two-thirds of our money transfer revenue. Between agency [ph] transactions initiated by solution retailers, we are now well executing well over 300,000 transactions a month. Our MVNO continued to improve its message as we emphasize online acquisition. IDT and Tigo Honduras reached an agreement which is patented as our successful deal with Tigo Guatemala over some minutes and gross profit along the U.S.-Honduras border while providing customers with more options for international long distance calling. U.S.-Honduras border is not as heavily traffic as the U.S.-Guatemala border, but substantial nonetheless. Overall, we head into the fourth quarter in a strong position. We still face challenges on multiple fronts, but our team deserves great credit for the considerable progress we have made diversifying our sources of revenue and margin. Thank you very much. That concludes my remarks. Now, Marcel and I will be happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions].
 :
 :
Operator: Okay. And there look to be no questions at this time. So this will conclude our question-and-answer session as well as today's conference call. Just want to thank you all for attending today's presentation and you may now disconnect your lines.